Operator: Thank you for standing by, and welcome to the Tyson Quarterly Investor Earnings Conference Call. [Operator Instructions] Today's conference is being recorded. If you have any objections, you may disconnect at this time. And now I'll turn today's meeting over to Jon Kathol, Vice President of Investor Relations. Thank you. Sir, you may begin.
Jon Kathol: Good morning, and thank you for joining us today for Tyson Foods Conference Call for the Fourth Quarter and 2013 Fiscal Year. On today's call is Donnie Smith, President and Chief Executive Officer; Dennis Leatherby, Chief Financial Officer; and Jim Lochner, Chief Operating Officer. I need to remind you our remarks today include forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995. These statements are subject to risks and uncertainties that could cause actual results to differ materially from our expectations and projections. I encourage you to read today's press release and our filings with the Securities and Exchange Commission for a discussion of the risks that can affect our business. [Operator Instructions] I'll now turn the call over to Donnie Smith.
Donnie Smith: Thanks, Jon. Good morning, everybody, and thanks for joining us. As we close the books on fiscal '13, I want to celebrate what Tyson Foods achieved this past year. We produced record earnings of $2.26 a share or 15% growth over the previous year, surpassing our goal of at least 10% EPS growth. We grew sales by 4%, achieving our goal and reaching a new record of $34.4 billion. Operating income grew 7% or $89 million over the prior year, despite $470 million of incremental feed cost. We grew sales of value-added products by nearly 6%, against a very aggressive goal of 6% to 8%. We made significant progress in building our international Chicken production, growing sales by 20% against a goal of 12% to 16%. We returned $650 million to shareholders by paying out $100 million in dividends and buying back 21.1 million shares of stock for $550 million. Our stock was up 78% for the fiscal year, and we reached a new all-time high stock price. ROIC continues to be over 18%. At the end of the fiscal year, net debt was $1.3 billion and net debt to cap was at 17%. We made 2 Prepared Foods acquisitions, Don Julio and Circle Foods. And we had a greater focus on growth drivers, while maintaining a steadfast commitment to operational excellence, which is carrying us into another year of growth in 2014. That's what we did. Now let's look at the macro environment we were operating in. We continued to see a shift away from foodservice into retail, reflecting the overall economy. Now that's not to say our foodservice business wasn't successful. In fact, it did very well in a challenging year for the foodservice industry, in general. We were nimble to respond as consumers moved among proteins and channels, depending on their confidence in the economy and the effect gas prices had on disposable income. We're also seeing more bifurcation among consumers between those choosing higher-priced value-added products and those moving down the value stream to save money. According to Nielsen data, for the year coinciding with our fiscal year, total fresh meat pounds sold at retail were up 1.4%, while pricing was up 2.3%. Ground beef and fresh beef pounds declined 0.3% and 1.4%, respectively, as price rose over 3%. Pork pounds increased 5% as price declined 4%. Fresh chicken was the winner, with pounds up 2%, even with a 7% increase in pricing, indicating that chicken was still viewed as a value relative to the other proteins. Tyson captured share as the #1 brand of fresh chicken in the United States. Now let's take a moment to talk about where we're going and how we'll get there. Earlier today, we issued a press release announcing several new leadership positions. This structure is focused on the key elements of our strategy, allowing us to accelerate our growth, reinforce our operational excellence and create opportunities for our team by deepening our best in class talent. By separating our poultry and Prepared Foods division, we are sharpening our focus on these 2 crucial growth areas. Noel White, a proven leader in our fresh meats business will now be leading our poultry division. Steve Stouffer, a 30-year veteran of our fresh meats business will lead our fresh meats team. Donnie King will be leading our Prepared Foods division and will create an integrated sales and marketing organization to strengthen our customer relationships. Hal Carper will lead in the areas of strategy and new ventures. I'm excited about these changes because they will allow us to capitalize on these leaders' considerable experience and talent, as we carry out our long-term growth plans. As we make these transitions, we will minimize distractions and concentrate on customer service, product quality and innovation. This morning, we'll also announce Jim Lochner's decision to retire at the end of our 2014 fiscal year. During the upcoming year, Jim will be working with the fresh meats group to ensure smooth transition, and he will help us make the move to a new organizational structure. I personally want to thank Jim for being an integral part of developing our performance-based, metrics-driven approach to business. Operational excellence is a hallmark of our culture. And as Jim makes his transition, he will help us sustain this mindset for long-term success and growth beyond 2014. He will continue in an advisory role for several more years. I'm happy that Jim will get to enjoy the rewards of his 4 decades of hard work and dedication. I just said a lot about growth and strategy in the future. But I'd like to give you some specific examples that illustrate how we're executing on these broad concepts. So we study consumers' needs and behaviors, and we have identified opportunities to grow retail value-added sales beyond center-of-the-plate chicken. Breakfast emerged as a high-potential category. Wright brand Breakfast Sausage is a natural follower to Wright Bacon, and a category that makes perfect sense for us as a leading pork processor. We recently rolled out Wright sausage, starting in the Southeast where Wright Bacon has the strongest following. And we're supporting this premium product line with highly targeted media. Another breakfast category, frozen handheld, is also a good fit for us. At nearly $1 billion in annual sales, it's a large category that grew more than 20% over the last year. Consumers told us they think a good breakfast should include protein, and Tyson is the brand they trust to deliver high-quality protein. 48% of consumers who buy frozen breakfast items also buy Tyson frozen value-added chicken. So we have a base of familiarity and positive perceptions as we enter this new era. We're launching 7 products under the Tyson DAY STARTS brand that will include biscuit sandwiches, flatbreads and wrapped omelettes. After consumer taste testing, 93% of consumers who already buy in this category said they would buy Tyson DAY STARTS and 89% said our products were better than anything currently on the market. Sell-in is underway now, and we've received a great response from our customers. We'll begin shipping in January, and we'll support our entry into this category with significant MAP spending. DAY STARTS is a great example of our push for innovation, as we set a goal to have 20% of our domestic poultry and Prepared Foods sales coming from new product innovation. We define that as something that we've developed within the past 3 years. And in 2013, we exceeded our goal with 21.5% of our sales resulting from innovation. Turning to another growth area, international. This time last year, projections for improvement in our international performance would be around $80 million, but due to avian influenza in China and a weak fourth quarter in Mexico, we improved by only $45 million. I'll quickly add that I'm still confident in our business plans in China, Brazil, Mexico and India and believe that we're headed in the right direction for long-term success. Before we go to Dennis, I'd like to give you an indication of what to expect from Tyson in 2014. First on the list is paying off the $458 million in convertible notes, which we did in early October in cash. It should be another very good year of growth, and we're off to a strong start, especially in the Chicken segment. On our last call, we said, overall, 2014 would look a lot like the back half of 2013 times 2. We still see it that way, meaning we should over-deliver on our EPS growth goal of at least 10% a year. And like 2013, we think earnings will be more weighted to the third and fourth quarters. As a reminder, our other annual goal is for 3% to 4% top line sales growth, 6% to 8% value-added sales growth and 12% to 16% international sales growth. We expect an ROIC that continues to grow and drive shareholder value. With AI and China hopefully behind us, our plan is to reach breakeven profitability and processing almost 100% company controlled birds by the end of fiscal year. As I just explained, we'll roll out several major product launches, including Tyson DAY STARTS and Wright brand Breakfast Sausage. We'll stay focused on our strategy, investing in growth and setting ourselves up for a great 2015 and beyond. Now let's go to Dennis for the financial update, followed by Jim with the segment results.
Dennis Leatherby: Thank you, Donnie, and good morning, everyone. I also want to personally thank Jim publicly for his great leadership role and our turnaround and ongoing success. Jim, I thoroughly enjoy working with you, and I'm glad you're still going to be around to help us achieve our long-term strategic plans. In this morning's earnings release, we reported fourth quarter earnings of $0.70 per share, up 23% compared to $0.57 per share a year ago. As a result of another strong quarter, I'm pleased to report a record year of earnings from continuing operations of $2.31 or $2.26 after excluding the currency translation adjustment in the second quarter. This $2.26 adjusted EPS compares to $1.97 adjusted EPS in 2012, up 15% year-over-year and beats our previous best of $2.22 in 2010 despite $1.4 billion in increased feed costs and many other significant challenges since 2010. Pretax return on invested capital for the past 12 months was 18.5%. Over the past 3 years, pretax ROIC has averaged just over 18%, again in the face of considerable challenges. Our operating cash flow for 2013 was $1.3 billion and is consistent with our 4-year average. We have shown the ability to sustain high levels of cash generation, and this should increase as we continue to grow our earnings. Capital expenditures were $133 million for the quarter, bringing the 2013 total to $558 million. During the fourth quarter, we acquired 9.9 million shares for $300 million under our share repurchase program. Since May 2011, we have repurchased 43.3 million shares for $950 million. Our effective tax rate from continuing operations was 32.5%. For the full year, the effective tax rate from continuing operations was 32.6% or 33.1% excluding the currency translation adjustment in the second quarter. Net debt to EBITDA for the last 12 months was 0.7x. On a gross debt-to-EBITDA basis, this measure was 1.3x. Including cash of more than $1.1 billion, net debt was just under $1.3 billion. Total liquidity was $2.1 billion, well above our targeted range of $1.2 billion to $1.5 billion. Gross debt was just over $2.4 billion. I'm pleased to report that our $458 million convertible notes matured 2 weeks after our year end, and we paid the balance with cash on hand. Our diluted average shares for the fourth quarter was 370 million. This included dilution of 12 million for our convertible notes, 6 million for the warrants and 5 million for stock options. As we previously reported, we had call options for the convertible notes, which will cancel out its dilution starting in Q1 of 2014. As a result, our diluted shares will decrease in Q1 by the 12 million shares from these convertible notes. Additionally, in Q1, we should realize a reduction of another 4 million diluted shares versus Q4 of 2013, as we benefit from the full impact of the Q4 share repurchases. Now looking forward, here are some additional thoughts on 2014. We expect revenues of $36 billion, up almost 5% over 2013. Net interest expense should be about $100 million, down $38 million from 2013, primarily due to the payoff of our convertible notes. The effective tax rate should be around 35%. Our preliminary CapEx plan is around $700 million, up $140 million from 2013 and $180 million greater than our depreciation and amortization expense. Based on our average share price in Q4, we expect our diluted shares in Q1 to be around 354 million, prior to considering changes in our stock price, which would impact the dilution from the warrants and stock options. This also does not reflect the impact of any additional share buybacks. And finally, this morning, we reported our Board of Directors increased our quarterly dividend from $0.05 to $0.075 per share on our Class A common stock, a 50% increase payable on December 13. Over the past 4 years, we have made a lot of improvements that have provided us with a balance sheet that we believe is a competitive advantage and is a solid foundation for our strategic growth plan. During this time, we have generated $5 billion in operating cash flows, and that is after funding $700 million in working capital increases. We invested $2.5 billion back into our business, including acquisitions, which is $0.5 billion greater than depreciation and amortization and is a further reflection of our growth plans. We also paid down over $1 billion in debt and returned $1.3 billion back to our shareholders via share buybacks and dividends. Our priorities for excess cash remain the same, which include additional capital spending to improve and grow our existing businesses, acquisitions to fulfill our growth strategies around value-added products and our international footprint and returning cash to shareholders through share repurchases and dividends, all while ensuring we maintain plenty of liquidity at our disposal. As Donnie mentioned earlier, we are off to a strong start in 2014 and we still expect it to look like the back half of 2013 times 2, with the strongest quarters in Q3 and Q4. This would be well ahead of our annual goal to deliver at least 10% EPS growth. With that, I'll turn it over to Jim for a closer look into our operating segments.
James V. Lochner: Donnie, Dennis, I appreciate your kind words earlier. I've always had a goal to retire at 62, and we have worked on the development of the team and the organizational structure, which allows me to accomplish this. I feel very fortunate to have worked with some really great people over the last several decades. I'm excited to begin the next chapter of my life, and I'm also very excited about the future of Tyson Foods. I really like the new organizational structure and the senior leadership changes, and I look forward to supporting this great team over the next year and beyond. I am confident Tyson is poised to move to the next level. The new structure, processes, people and strategy are aligning in such a way that the earnings power of this company can move to a higher plane, and I'm looking forward to watching it happen. Now let's talk about the segments. Starting with the Chicken segment, in the fourth quarter, we reported $175 million in operating income and a 5.5% return on sales. Volume and pricing increased 2.4% and 4.3%, respectively, over Q4 last year. Through operational mix and price improvements, we offset a $30 million increase in feed costs for the quarter. For the fiscal year, the Chicken segment produced $646 million in operating income and a 5.3% return on sales. Volume for the year was up nearly 2%, while price per pound was up over 6%, which partially offset the $470 million incremental feed costs for the year. Our buy versus grow strategy continues to work for us. By keeping our production short of demand, we can make opportunistic purchases on the open market for breast meat used and value-added products, while keeping our late quarter inventories in check. We will maintain this strategy into fiscal 2014 as it allows us to be responsive to customer needs and market shifts. Seven weeks into the new fiscal year, the Chicken segment is off to a strong start. We expect Chicken supplies to be up 3% to 4% for the year, but we also expect demand to be up as well, due to the relative strength in beef and pork pricing and chicken features at both foodservice and retail. We will continue to diversify to a more value-added product mix in total, particularly focusing on dark meat products for domestic customers. We currently project our feed costs will decrease approximately $500 million in fiscal '14. However, the cost of grain is only 1 factor in our pricing conversations with customers. Chicken supply and consumer demand, along with the value we provide through quality, service and innovation, are all part of the pricing dynamic. They are important factors in the growth of our domestic Chicken business as well, as we continue on a path to develop more value-added chicken products in addition to increasing chicken production in our international locations. Turning to the Beef segment. In the fourth quarter, we generated $162 million in operating income and a 4.3% return on sales. Volume was up 4%, while price was up nearly 5%. For the fiscal year, operating income was $296 million, with a 2.1% return on sales. Volume for the year was down nearly 2%, while pricing increased 6.6%. Our beef exports increased, while overall industry exports declined. 2014 will have challenges similar to those we experienced in 2013. And like last year, we'll concentrate on being a best-in-class producer, growing exports, increasing revenue through premium programs and brands, such as Star Ranch Angus, Open Prairie Natural beef, Reuben brand Corned Beef and our Case Ready program. And we'll continue providing our customers with options by adding value to wholesale cuts, such as our closely trimmed subprimals. Moving on to the Pork segment. Operating income for the fourth quarter was $68 million, with a 4.9% return on sales. Pricing was up 12.6% on a 5.6% decrease in volume. For the fiscal year, operating income was $332 million and return on sales was 6.1%. Price was up approximately 2% on 3.6% fewer pounds. A ban on ractopamine limited total U.S. exports to Russia and China. We are working with our customers in both countries, especially China, to meet their specific needs. We adjusted by keeping our supply in balance with demand, which accounts for some of our volume decrease. Additionally, we adjusted our mix to increase price realization. The effects of the PED virus started showing up this month, although we are not expecting shortages in our plants, the overall reduced volumes should be favorable for wholesale pricing. As with Beef, we continued to increase revenue in the Pork segment through product mix and premium programs, such as case-ready pork and the high-quality Chairman's Reserve and Supreme Tender brands. We think 2014 will be another solid year for the Pork segment, and we will work to maintain and build on our reputation as a best-in-class producer. In the Prepared Foods segment, we generated $16 million in operating income for the fourth quarter with a 1.8% return on sales. Price was up nearly 4% and volume increased 5.2%. For the fiscal year, Prepared Foods operating income was $101 million and return on sales was 3%. Price was up less than 1% and volume was up almost 2%. Our Prepared Foods segment is a mix of strong profitable businesses, growth platforms and businesses in the early stages of turnaround and startup. While not in the normalized range, there are numerous factors that led to these results, including conscious decisions we made. Because we view Prepared Foods as a growth vehicle, we have been investing heavily in new product categories and expanding existing categories. In addition to the frozen breakfast and raw sausage Donnie mentioned, we're entering the smoked dinner meats category as well. As we've discussed before, we're investing to make a push to expand our highly value-added offerings in all channels. We expect our Houston lunchmeat plant to come back online in December. We have invested in that location to allow us more packaging and mix flexibility because we see it as a longer-term higher-margin play. As we work to become a low-cost, high-quality lunchmeat provider, we expect steady improvement in this business over the year. Although investing in turnarounds and startup businesses, along with MAP spending, have diluted Prepared Foods segment profitability in 2013, we're building a foundation for future growth. If we added these investments back in, profitability would have been in the historical range. Looking 2 to 3 years out, our model suggests strong returns for the products and categories we're working on now. In closing, I'd like to thank the Tyson management team for their attention to details, starting with taking care of the customer, taking care of our team members and driving a spirit of continuous improvement. Their enthusiasm to take on new challenges has been very gratifying. That's the end of our prepared remarks. Candy, we're ready to begin Q&A.
Operator: [Operator Instructions] Our first question is from Ken Zaslow of Bank of Montréal.
Kenneth B. Zaslow - BMO Capital Markets U.S.: Jim, I just want to congratulate you on your retirement. It is well deserved and we will definitely miss you. Thank you very much for all your help throughout the years. So we will miss you.
James V. Lochner: I appreciate that very much.
Kenneth B. Zaslow - BMO Capital Markets U.S.: Let me just go to some questions as well. Look, Tyson's free cash flow has accelerated over the last couple of quarters to like new levels. So my question is, at these current run rates, are these the current -- is this the current run rate of cash that you expect at these current levels? Or can it even accelerate to new levels? And your share repurchases, clearly, have accelerated in the last quarter. Is that the new run rate of how you're thinking about cash -- deployment of cash for the next year or 2?
Dennis Leatherby: Thanks, Ken. Multipart answer. First, I want to say that yes, we are on a new run rate as we continue to grow earnings like we said back half times 2. That would certainly mean more cash flow, and so more options for us to deal with that cash flow. So we want to just reiterate that it's first on growth, CapEx over and above depreciation for our existing businesses, acquisition activity and then returning it back to shareholders. But you're right, cash flow is growing.
Kenneth B. Zaslow - BMO Capital Markets U.S.: Okay. But what about share repurchases? Because I think you did 300, going from 250 -- it was 550 for the year. You're at 300 for the last quarter. I don't know if the 550, 600 is the new run rate on an annual basis that we could start thinking about it. Is that the way to think about it?
Dennis Leatherby: It certainly would be more, Ken. But it depends on what might come in front of it in terms of growth opportunities.
Kenneth B. Zaslow - BMO Capital Markets U.S.: Okay. And then my second question is when I look at your numbers, I get that you've committed to doubling the back half of 2013 throughout the year, but if I actually take your numbers and use your quantitative guidance, I get a much higher number than what you're saying. I'm not saying that you do not want to be conservative here, but is there something wrong with my math of how I'm doing it? Because the numbers that you're saying with the share count, where it is, plus the Chicken margins being at the higher end or above, Beef being the same, I'm getting to more -- numbers -- at least $0.10, $0.15 ahead of what you're implying on the double. Can you talk to that?
Donnie Smith: Sure, Ken. Like we said, we're off to a good start, particularly in Chicken in this fiscal year, which feels really good. I think the things you can have in mind, we feel good about our top line sales growth. We feel good about our value-added sales growth being in that 6% to 8% range. In Chicken, we are heading into a lower-cost environment. A little bit higher supply, but we also think that will be offset with some, call it, pricing halo effect from really high-priced beef and pork this year. So we like the way that the chicken supply and demand fundamentals are setting up. We'll continue to get some tailwinds from grain, moving on through our Q1 and then into Q2. And as Jim said in his comments, we've done a great job with our quality service and innovation, and we think that will pay off in our pricing conversations with our customers because they view our product offering as one that has additional value because of those attributes. If you look at Beef and Pork, it looks like to me that the supply dynamic is set up next year or 2014 to about like 2013. Jim talked about Prepared Foods, certainly, with Houston coming on -- our new technology coming on in December. We expect that business, our lunchmeat business, to get better through the year. So that has the potential to be additive. In our international business, Mexico has been a little difficult for us in the pricing so far this quarter. But that deal seems to be -- the market seems to be firming up a little bit. The supply seems to be -- giving us an opportunity to get our pricing up on top of us a little bit. China is still -- we're still getting better in China as we get more of our housing, in our company-controlled housing, our costs will get better. So as we ramp through the year, we anticipate that part of our business being profitable by the tail end of the year. So it feels like to us we've got some early tailwinds and some possibilities to gain momentum through the year. So that's how we feel about it.
Operator: Next question, Brett Hundley of BB&T Capital Markets.
Brett M. Hundley - BB&T Capital Markets, Research Division: Jim, let me offer my congratulations as well. If I can even offer congratulations on your retirement, I don't know if you can call it that. It sounds like they're going to hold on to you pretty well, but congratulations.
James V. Lochner: Yes. We'll be [indiscernible] to that though, don't worry. But thank you.
Brett M. Hundley - BB&T Capital Markets, Research Division: I wanted to start with Pork. Jim, I thought your comment was very interesting on not expecting shortages at company plants related to PED. And I wanted to work through some of my calculations with you and see maybe if this is how you're thinking about it or just to get further clarity. But when we heard about PED expanding like it has been in North Carolina, we were thinking maybe anywhere from a 3% to 5% potential reduction in headcount, call it, February through April, May, June kind of a thing. However, we're also noticing increased weights, increased litter rates, increased gilt retention. We think there could be stronger demand in periods going forward, potentially related to demand from Asia for U.S. product. And so I had thought that we could see some offsets there. But I just want to get a, to see if you agree with that; but b, what you're really talking about when you state that you don't expect big reductions at your plants.
James V. Lochner: Let me start with some of the swine veterinarians that we've talked to around the country, would suggest that about 10% of the sows in the U.S., somewhere a little -- on the 550 -- 550,000 zone might be impacted. And generally, it's thought it might impact 10% productivity on the effective herd. So that quickly equates to about a potential on an annualized basis of 1%. So the key will be just kind of at what points and what locations. But it seems that Oklahoma and North Carolina zones were early impacted, haven't heard yet. Although I'm sure that we expect to see some impact, the upper Midwest and the Corn Belt. But again, if I base it on that, we kind of expect to see that 1% impact could be greater, but we also -- it would maybe just negate the productivity increases we've been seeing. And we -- and I agree with you, I think particularly on the wholesale pricing side that I think the export demand in total will probably start to increase for 2014. And so a combination of containment of potential increases in pounds produced, with exports should be fairly favorable for wholesale pricing increases.
Brett M. Hundley - BB&T Capital Markets, Research Division: Okay, I appreciate that. And then my follow-up is related to pork, but it has implications for other proteins. And certainly, Donnie, you talked about the picture and the outlook for chicken, and I certainly agree with you on the demand side. My only worry would be on supplies potentially building greater than expected. But back to the demand side, we've noticed some recent featuring of Pork items at QSR. And a lot of times, the featuring tends to be temporary. Do you worry at all that this recent activity shows some consumer fatigue surrounding all the chicken featuring that's been done? Or how do you view the demand dynamics going forward through fiscal '14? I appreciate it.
Donnie Smith: Sure. Yes. Well, it’s great to have a diversified portfolio because we can take advantage of whatever they're featuring. But here's how we view it: Beef 50s and Beef 90s look like they're going to have another really, really strong year. So if you're a QSR, in the last couple of years, you've been running chicken promotions, it's going to be really hard to comp a chicken promotion with a beef promotion. So -- and that's more likely than not, that would dominate the feature activity. So the great thing about chicken is it carries a lot of flavors, shapes and forms, and I don't see any fatigue at all at QSR for chicken. So here's kind of the way we think about it: So beef and pork prices ought to be pretty high, beef prices particularly, which sets up a pretty good halo in chicken, relatively speaking is a very good value when compared to those high beef prices. So we continue to think you'll see a demand shift. In some of the numbers that we talked about, you got chicken pounds up 2% on 7% increase in pricing year-over-year. And what we saw was the beef pounds kind of struggled a little bit as they reached some pricing elasticity. Now the key thing about us in the beef and pork deal has been around where the animals are. And we're very well positioned from a supply base around a lot of the feedlots -- that are high-volume, high-capacity feedlots. So we like the way our Beef business is set up this year. We view it a lot like we did last year. Did that help?
Brett M. Hundley - BB&T Capital Markets, Research Division: Very much so.
Operator: Next question is from Farha Aslam of Stephens.
Farha Aslam - Stephens Inc., Research Division: Jim, congratulations on a very, very successful career.
James V. Lochner: Thank you.
Farha Aslam - Stephens Inc., Research Division: And my first question is on Chicken, Donnie, you had mentioned that you're really managing Tyson's U.S. business for earnings consistency, as well as growth. Could you just highlight how Tyson approaches Chicken that will -- might help the company manage through the ups and downs of the commodity volatility, better than possibly the rest of the industry?
Donnie Smith: Sure, Farha, thanks. A couple of principles that are really important to us is maintaining a manageable minimum of inventory and then the second thing is we never want to get long chicken. We all -- we don't want an excess supply. So our buy versus grow strategy plays into part there. As we look back a couple of years ago, it seemed apparent to us that we needed to use our pricing structure as well, as a way to manage the commodity volatility. Though when you think about our business, we're probably not going to hit the highs during the summer high peaks in the commodity markets. We're certainly not going to hit the lows during the wintertime dips in the commodity markets. And we're going to have a more consistent profile because our pricing profiles are a bit different. In the last couple of years, we've moved about half of our pricing contracts to adjust to either the grain costs or the parts markets. And what that would allow us to do is protect our dollar margins and give us a more stable return in up or down grain markets. That's really our focus, is to present to our shareholders a stable return, I'm going to say almost regardless of what the commodity markets are doing.
Farha Aslam - Stephens Inc., Research Division: That's helpful. And then on Beef, there's considerable concern right now about the tight supply of cattle and notably commodity beef margins just registering negative. Does that mean Tyson's Beef division is running red right now? Or is there programs that you have that can help you outperform that commodity average?
James V. Lochner: Well, let me answer that by saying we are not red right now. They've compressed. But as I said in my remarks and before, we put a tremendous amount of focus on really the -- beating the revenue components through mix, through pricing, through yield, through a variety of other product management. And then we know one thing, the market won't let us buy cattle any cheaper than the market. So we put all our focus on driving revenue and staying in position. We really kind of watch very carefully what the forward demand for cattle -- or excuse me, what the forward supply for cattle availability are and we keep our product sales in reasonably good alignment with that, so that we can manage margins by plant as best we can. And again, all our focus has always been on the execution components within our control. So that's really kind of the play. If you look forward, I think '14 will be very similar to '13, but with a gradual decline in some periods, where the supply is very adequate and some periods where the supply is a little bit more challenging. And that's the essence of margin management, to really see what's out in front of you and make your adjustments accordingly.
Operator: Next question is Akshay Jagdale of KeyBanc Capital Markets.
Akshay S. Jagdale - KeyBanc Capital Markets Inc., Research Division: Congratulations, Jim. Hopefully, you're still going to be teaching some classes that maybe someday we can join. But congratulations on a great career.
James V. Lochner: I'm teaching a long time. I plan on continuing to do so. So...
Akshay S. Jagdale - KeyBanc Capital Markets Inc., Research Division: Great. Well, I wanted to talk a little bit about Chicken, if I may. So in the fourth quarter, at one point, I don't know if it was last quarter or the quarter before, we expected margins to be at that high end. Can you just talk a little bit about what happened this quarter? I'm having a hard time understanding why margins were down sequentially, perhaps it was Mexico and China. So maybe you can tell us how the U.S. business did. Can you just help me understand that? Why were margins down as much as they were sequentially?
Donnie Smith: Yes, that was it was, Akshay. It was China and Mexico. With the commodity markets -- I think what happened is maybe the supply rebounded in Central and Southern Mexico perhaps a little quicker than what others expected and certainly did more than what we expected. And so we faced some pretty cheap commodity markets down in the Mexico City area. And that hurt our Mexican numbers, too. We continue to struggle through the rebound in the markets in China. What happened in the spring, there was evidently a lot of chicken that went into the freezer in China. And that's been coming out. And it's kept the commodity markets softer than what we thought they would be. Our volume rebound -- we're probably around maybe back to 80% of our pre-AI volume. But the markets haven't responded like we thought we would. And we think that has to do with some excess inventory. So domestic business is running great. And you have to remember, too, that there's a significant -- well, I'll say significant, there's about an 8 week or so lag in the commodity costs. And so we still had really, really high grain prices into mid-August. In the last half of August and then September, we started taking a little truck grain in, which is -- we hedged it up. It was typically cheaper. But it was really like the second week of September before we really got into heavy truck grain. Well, by then, you're really looking at mid-Q1 of FY '14 for a cost drop. And so it was really the way the commodity market -- the futures market looked cheap, the basis levels looked high, but that drop really gets shoved in to Q1 and Q2 of '14 in your Chicken cost structure. Does that make sense?
Akshay S. Jagdale - KeyBanc Capital Markets Inc., Research Division: Okay. It makes sense. But -- so can you give us like a -- I think you had said for fiscal '13, you'd get 80% of the $100 million in losses back, right? So there was going to be an $80 million improvement, if I may, in international? So I guess, we didn't end up with that number. The only reason I'm asking is...
Donnie Smith: You're right, Akshay. We only got $45 million. And that's part of the -- that and coupled with what happened in Mexico is the money you're looking for in Q4.
Dennis Leatherby: Both China and Mexico.
Akshay S. Jagdale - KeyBanc Capital Markets Inc., Research Division: Yes. So what's the expectation embedded into '14 for international, on the same operating income number?
Donnie Smith: Yes, we're -- we should get consistently better quarter after quarter, but China probably won't reach profitability until our Q4.
Dennis Leatherby: But overall, it will be profitable for the year, slightly [ph].
Akshay S. Jagdale - KeyBanc Capital Markets Inc., Research Division: Okay. And then you said Chicken's off to a good start. I mean, can you help me understand what a good start means for you in terms of operating margin? That would be helpful. And then I just have a follow-up on supply.
Dennis Leatherby: No. Other than saying, we're off to a good start, I really can't give you any more help than that, Akshay. We're off to a good start.
Akshay S. Jagdale - KeyBanc Capital Markets Inc., Research Division: Okay. And then just on supply, you increased your supply estimate for '14, 3% to 4%, I mean, why did you do that? Have you seen something in the pullet placement numbers? Or what's the reason for the higher supply? And why doesn't that impact your margin guidance negatively?
Dennis Leatherby: Okay. So head up a little bit. You're right, the pullet supply for '14, it is what it is. But we think weights. We're particularly heavy this quarter, and we think weights are going to continue to increase next year, driven, of course, by cheaper grain costs. The reason it's not impacting our results negatively is that we've planned for it. And our buy versus grow strategy will have us buying cheaper raw materials and then upgrading those into value-added sales. And that's our model.
James V. Lochner: The other thing you have to really look at, Akshay, is Oct, Nov, Dec period here, year-over-year is up, and we're talking about fiscal. So you're starting with this period with a fairly high increase in pounds. So you've got to get yourself adjusted to the fiscal versus the calendar as well.
Operator: And next question is Ken Goldman of JPMorgan.
Kenneth Goldman - JP Morgan Chase & Co, Research Division: Jim, congrats as well. I hope this doesn't mean you've gone vegan on us here.
James V. Lochner: Let me put the probability of that happening, it's 0% to negative 100%.
Kenneth Goldman - JP Morgan Chase & Co, Research Division: Good, good. Well, I appreciate your comments on packaged meats and some of the opportunities you have to turn that business around. But based on your comments from around a year ago, maybe a turnaround has taken slightly longer than you initially [Audio Gap] a different set of categories to compete in. So I guess, I'm just curious, if the turnaround eventually doesn't work the way you hope, what would it take for you to potentially turn to some acquisitions, right, to get some brands that are maybe more established in some categories, call it, lunchmeats, whatnot, in order to kind of solidify and accelerate your growth? I mean, Ken Zaslow, made a good point I thought, you have a lot of cash and you're generating even more cash every year. So I'm just curious about that sort of make or buy proposition in packaged meats.
Donnie Smith: Certainly, and this is Donnie. We absolutely have our eye on multiple ways to grow our Prepared Foods business. With our cash flow, it's obvious that acquisitions are within our view. We did a couple of small acquisitions last year to try to fill in some gaps. And we obviously have capacity and options now with our great balance sheet to be more aggressive if we need to, if there's a right fit. Dennis and I have done -- have talked a lot over the last couple of years about how we view acquisitions. We approach them fairly clinically. We want to make sure that an acquisition can be accretive to our ROIC within a fairly short and reasonable period of time. We try to target something that can -- if our total ROIC is going to be at 20% or better, we want to target an acquisition that can get there within a 2- or 3-year time period, that type of thing. And so that's the math we use whenever we're looking at an acquisition target. But we're also committed with our current facilities to continue to improve. I'm extremely confident that the moves we're making, particularly in our lunchmeat business, will have us very well positioned by, say, this time next year in our lunchmeat business. And again, our Prepared Foods business is a broad range of categories. Some of those businesses are doing very, very well with great margins, and we'll continue to drive those. They're very important to the customer targets that they focus on. So we feel really good about our Prepared Foods business. And if you noticed in our organizational changes, we're doubling down. We've got great talent against our Prepared Foods segment, and we're going to put a lot of focus on Prepared Foods going forward. Jim, you want to add anything?
James V. Lochner: Yes. The only thing I'd add is we -- as I said in my remarks, we made a lot of conscious decisions. And I think some people sometimes underestimate the startup cost and investment in G&A, putting the right organizational structures, the MAP spend. They don't accrete earnings right away. You've got to bet on them going forward. So that's part of what we saw on the dilution this year and particularly this quarter, as we look at multiple categories. We've got our eye on a lot of things, and this area has a lot of potential and we put a lot of manpower and good talent around it.
Dennis Leatherby: Ken, this is Dennis. I'd just add that Prepared Foods, were it not for all these turnaround expenses and startups, it would have generated about a 4.5% return on sales, which is, as you know, within our range. We think next year, we're going to continue to improve the business. And the real fruits of this labor will come in '15 and beyond as these businesses build out and fill out, I think they'll be nicely profitable.
Operator: Next question, Tim Ramey of D.A. Davidson.
Timothy S. Ramey - D.A. Davidson & Co., Research Division: And let me add my great wishes to Jim. I just threw open my 1988 initiation on IBP, and he was there, jumpy, fidgety, had this demeanor of a commodities trader, superbright, and nothing's changed really. So congratulations, Jim. It's been fun to be hanging around you for 25 years. That could have been due to working for Bob Peterson at the time though. I'm not sure.
James V. Lochner: I did have hair in 1988, I think.
Timothy S. Ramey - D.A. Davidson & Co., Research Division: That's true. So you made a comment, Donnie, on profitability in the fourth quarter by -- in China, fourth quarter of '14. But I mean, you featured China kind of right up there in your first paragraph. And so I'd love to have you kind of dream a little bit more publicly about what that might look like in '15 and '16, just to kind of re-satiate our appetites on the outlook on that one.
Donnie Smith: So the tough thing about FY '13 was the financial impact on our business. We were -- about half of our production is in company-owned -- or company-controlled birds now. And our cost structure in those houses is really effective. So we can't get our land-use rights and can't get these farms built fast enough for our taste. And we're doing pretty good. Our initial plan, if you go back maybe 2, 2.5 years ago was to be completely built out by FY '14, by the end of FY '14. We're probably going to miss that by a few weeks. But still, the vast preponderance of our chickens will be in company-controlled housing. So I guess, it's a cost advantage and the uses of marketing advantage. The thing we have seen is the importance of the supply chain that we're developing. And what we've seen in '13, although it's not been great for us financially, it has validated our business model. So we think having a supply chain that is from pullet to plate is very consistent with a lot of cost controls and a lot of bio-security controls is going to be very good for us in '15 and beyond. So what we would see is going into '15, we'd have an advantaged cost structure, we'd have a very unique and very differentiated selling story. And I tell you, I think we've got a great opportunity. Yes, we deal with foodservice QSRs and that kind of thing, but we have a great retail offering in China as well. And we've got the ability to take the Tyson brand across more areas of China and to expand that geographically and have a really strong branded presence. Because as you well know, Tyson Foods has meant trusted food and great quality for years and years in America. We want to bring that as well to China. So we're very optimistic about what happens in '16 and beyond and really looking forward to getting there.
Timothy S. Ramey - D.A. Davidson & Co., Research Division: And just to kind of restate the focus on food safety and bringing it all in-house, leads you to believe that pricing will be such that you can charge premium prices, as well as get your cost under control. I think you originally said that it could have twice the margins of the domestic business. Is that still kind of roughly your thought process?
Donnie Smith: Absolutely, in a mature complex. We intend to grow China pretty aggressively. And so we may have 2 mature complexes that are at those levels of margins, and then we may have an immature complex or partnership or that kind of thing that's still coming onstream that would be in the mix as well. But when these complexes get full, just like there's U.S. complex today, we're still confident that they'll carry a very aggressive margin structure about twice of what we see here.
Operator: Next question is Michael Piken of Cleveland Research.
Michael Piken: Congratulations, Jim, on your retirement. Just wanted to make sure that -- on that Beef side, a couple of quick questions. You guys have talked about a 2% to 3% decline in fed cattle supplies. And if we look at USDA's numbers, which are more on a pounds basis, they're kind of suggesting beef production for calendar '14 will be down more like 6%. Was that 2% to 3% more for the cattle supplies in your area? Or is that sort of an industry-wide outlook? And then secondarily, if production is really down about 6%, do you think that the industry as a whole might need to take down another packing plant?
James V. Lochner: Let me -- I saw the USDA pounds estimate, you have to factor in the probability of beef cattle slaughter being down appreciably. We're thinking more in the fed steer and heifer, was what we referenced because we don't participate in the other category on the process side, so we don't process cows. And I'm just really basing that off of looking at the prior year calf crops on '11, '12 and '13. And being in that 2% last year, in our fiscal year '13 versus '12, we were down 1.5%. So we're thinking that trajectory is down. If heifer retention starts to accelerate, which it hasn't shown signs of yet, that number changes. If heifer retention doesn't happen, that number could actually lessen. So we're just really basing everything always off the calf crop going forward. And to answer your question, yes, as supply is based on the beef cow and the dairy cow herd and the calf crop going forward, yes, we'll still have overcapacity. There is probably some peripheral plants outside the feeding zones that will struggle. Again, our plant's set right where the bulk of cattle feeding occurs. And so we're fairly comfortable, and we pay very close attention always to the forward supplies and try to keep ourselves in very good balance.
Michael Piken: Okay, great. And then just as a follow-up on that, I know you had mentioned earlier in Farha's question that you guys are profitable kind of right now, and this is typically this quarter and into your second fiscal quarter the weaker time for beef. I mean, if you guys are sort of profitable now when the industry margins are lower, like, I guess, could you explain sort of why you think your margins could potentially be below your normalized range?
James V. Lochner: Currently, now we expect -- we're -- like Q2 normally would be the tougher quarter. We are fairly pleased as we look back at '13. And we sat here a year ago during the Oct, Nov, Dec period and then went into the Jan, Feb, March period, and we felt like we were struggling. But we came back strong in our last 2 quarters, and I expect pretty much a repeat of that. If we continue our emphasis on controllables, which I'm very pleased that the team there is extremely focused on those, it could be better than that. But we're factoring in some periods that we think that the cattle will be a little bit tighter, and the industry margins as a whole could compress. But we certainly think there's times that they can expand. So that's why really we said we think '14 will be very similar, with the similar challenges that we had in '13. That's the way we look at it.
Operator: Next question is from Tim Tiberio of Miller Tabak.
Tim J. Tiberio - Miller Tabak + Co., LLC, Research Division: Jim, I want to add my best wishes to you.
James V. Lochner: I appreciate that. Thank you.
Tim J. Tiberio - Miller Tabak + Co., LLC, Research Division: All right. And then just 2 very quick questions on your outlook for 2014. Do you feel that the country of origin labeling, that the supply chain has fairly well adjusted to that event? And are the potential for higher costs reflected in your outlook for the Prepared Foods segment in 2014?
James V. Lochner: Let me address country of origin labeling. Yes, we factored that in. And maybe that will change. There's still an opportunity for the farm bill or adjustments to take care of that. If it doesn't, we fully adjust. And we're in compliance today. We made the adjustments we need to. And looking forward on this -- on the long-range supply activity to accommodate that. And then I'm not following your second question. Was that jumping into the Prepared Foods segment or related to cattle or beef?
Tim J. Tiberio - Miller Tabak + Co., LLC, Research Division: Well, I guess, cattle and beef and whether you think that you've got a good handle on the cost structure. Obviously, you're bringing in more feeder cattle from Canada to the U.S. So just wanted to get a sense if you feel like the supply chain is prepared for that impact? And it sounds like that is the case.
James V. Lochner: Yes. Totally, definitely, and we did announce that we would curtail, at least for a while, any direct importation of Canadian cattle. And we can always reevaluate that and adjust our SKU count accordingly. But in the interim, we're going to try to simplify the product mix out there. But as a whole, I'd say that the adjustment has happened. And we'll just have to see, and that does take some supply potentially out of the U.S. beef.
Tim J. Tiberio - Miller Tabak + Co., LLC, Research Division: Okay. And then just secondly, on the international outlook, does your outlook include the potential for increased supply in Brazil, as soy milk prices come down? There's obviously the potential for production in that country to grow. They are obviously a large competitor in the export markets. Just want to get your thoughts with regards to Brazil.
James V. Lochner: As beef -- yes, as Brazil imports -- excuse me, exports more beef to more countries and has an increase of supply, that puts a little more pressure on the manufacturing meat. It might indirectly work, where we see more 90 or imported lean beef coming into the U.S. that could potentially offset some of the cow slaughter reduction that's there. So those are always balances that you're walking -- watching very carefully, simply because they do impact raw material costs, they impact the pounds and they impact the utilization of particularly manufacturing beef. And that's why it is a global market. U.S. beef and Brazilian beef don't necessarily compete in like markets for like causes and uses, but they are all in that balance. So, thank you.
Donnie Smith: And by the way, on the Chicken side, very much intend to grow our business in Brazil, not just in terms of the number of heads processed, but also in our value-added offerings, so very much a growth vehicle there.
Operator: And our last question comes from Rachel Nabatian of Crédit Suisse.
Rachel Nabatian: First off, I just wanted to say congratulations to Jim. Now your Beef results came in a little better than we were expecting. So I was just wondering if you got a short-term benefit on cattle bidding from the USDA shutdown. And this is particularly when the outlook and the conditions were weak. And then I also wanted to know if the LFTB issues, have those turned back into a positive? And are you now monetizing LFTB again?
James V. Lochner: Let me start with -- no, we did not have any benefit. We just used alternative pricing mechanisms. We gave both buyers and sellers alternatives. If they didn't want to use the alternative formulas, non-USDA reported markets skilled [ph] negotiated, did that on beef and pork as well; did create some disruption for a period of time, but both buyers and sellers, all did adapt and we used traditional or old market reports or negotiated. So had no -- really no impact from that. Lean, finely textured beef, now the volume is still not utilized anywhere close to the same percentage. And quite clearly, going forward, we and others, will clearly label its presence in ground beef. So that, that issue cannot be attacked again. So that's kind of the play on that. Really, again -- in the margin scheme, that's also probably neutralized itself, now probably it has neutralized itself, and we're not seeing any impact one way or the other from it at this stage.
Donnie Smith: Well, before we go, I want to thank our team members for all you've done to make 2013 such a great year. And I also like to thank our investors for your continued support of Tyson Foods. Hope you'll have a happy Thanksgiving. And, hey, eat some chicken, beef and pork instead of turkey this year, would you? Thanks, everybody.
Operator: Thank you for your participation. That does conclude today's conference. You may disconnect at this time.